Operator: Good evening, and welcome to MillerKnoll's Quarterly Earnings Conference Call. As a reminder, this call is being recorded. I would now like to introduce your host for today's conference, Wendy Watson, Vice President of Investor Relations. Please go ahead.
Wendy Watson: Good evening, and welcome to our second quarter fiscal 2025 conference call. On with me are Andi Owen, Chief Executive Officer; and Jeff Stutz, Chief Financial Officer. Joining them for the Q&A session are John Michael, President of Americas Contract; and Debbie Propst, Vice President of Global Retail. We issued our earnings press release for the quarter ended November 30th, 2024, after market closed today. And it is available on our Investor Relations website at millerknoll.com. A replay of the call will be available on our website within 24 hours. Before I turn the call over to Andi, please remember our Safe Harbor regarding forward-looking information. During the call, management may discuss information that is forward-looking and involves known and unknown risks, uncertainties, and other factors which may cause the actual results to be different than those expressed or implied. Please evaluate the forward-looking information in the context of these factors, which are detailed in today's press release. The forward-looking statements are made as of today's date, and except as may be required by law, we assume no obligation to update or supplement these statements. We will also refer to certain non-GAAP financial metrics and our press release includes the relevant non-GAAP reconciliations. With that, I'll turn the call over to Andi.
Andi Owen: Thanks, Wendy. Good evening, everyone. Thank you so much for joining us tonight. As you may hear from my voice, I'm recovering from a little bit of a respiratory infection, so please bear with me. I'm very pleased to report MillerKnoll delivered strong performance in the second quarter of fiscal year 2025. We continue to be optimistic for the year ahead based on momentum we're seeing in several of our businesses, along with leading indicators which vary by segment, strengthening our overall demand picture. While orders are trending nicely ahead of last year, they've recovered at a slower pace than we expected at this point in the year. This is reflected in our guidance for the balance of the year, that Jeff will discuss later in the call. Moving on to some highlights and trends by segments. Americas Contract continues to be a key growth driver for MillerKnoll with sales and orders up year-over-year in the second quarter, our third consecutive period of order growth, and looking forward, leading indicators in this segment such as project funnel additions, customer mockup requests, and pricing activity are all up year-over-year. Within the International and Specialty segment, we continue to see strong order growth in the Middle East and parts of Asia. We're thrilled to see the excitement that is building for our brand internationally. One of our key competitive advantages is the power of our collective of brands alongside our global scale and reach. As I mentioned last quarter, in September, we opened our MillerKnoll flagship in London and to date, we have more than doubled client appointments compared to the same period last year. We have some great initiatives that are building momentum in this segment as well. For example, with the opening of a new Fulfillment Center in Belgium, we now have the ability to offer our full complement of textiles in Europe, making it more efficient to utilize them across our portfolio of European brands. Turning to our Retail segment, we saw a mid-single-digit year-over-year increase in orders during the very important 12-day Black Friday holiday cyber promotional period. This period runs from the Friday before Thanksgiving through Giving Tuesday and fell in both our second and third fiscal quarters this year. Additionally, we're pleased with several positive trends in the business including, strength of the complementary concierge design services we offer our customers, new product launches, performing above expectations, and a very positive response to our promotion, with all product categories performing better than prior year and the holiday cyber promotional period. This gives us confidence to continue to invest in new stores and our product assortment. In early 2025, we plan to open Design Within Reach Studios in Palm Springs, California, and Las Vegas, Nevada, as well as a Herman Miller store in Fairfax, Virginia. We're also very excited to introduce an expanded product assortment in spring 2025 with new product launches up over 100% compared to spring 2024. Moving to supply chain and the topic of tariffs. We're paying very close attention to the tariff proposals. We've managed through similar tariff policy changes in the past and are looking to a number of options to mitigate if needed. These could include identifying alternative sources of supply, options for advanced purchasing of imported goods and materials, and possible future price adjustments in response to tariff-driven cost increases. We know from experience that our global manufacturing footprint and supply chain agility is an advantage, and we will determine which combination of these responses is appropriate as more details on tariff actions become available. We're also closely watching other proposals from the new administration, that could have a positive impact on our business and that of our customers. The extension of the 2017 tax cuts, and in particular, the reinstatement of bonus depreciation could result in higher free cash flow for us and for many of our customers. We made impressive strides in sustainability this quarter. We announced the elimination of added PFAS from our North American product portfolio by May of 2025, and globally by May of 2027. Our products currently meet or exceed global PFAS regulations, but we aim to go beyond minimum safety standards. We also continue to roll out more sustainable product options. Herman Miller launched a refreshed version of the popular Mirra 2 Chair made with more recycled content and a lower carbon footprint. As a design and innovation leader, we support our customers through a Global Research and Insights team. With more and more industries recognizing the need to return to and personally connect within workspaces, this team is constantly evaluating ways to create spaces that support relationship-based work. Through our Design with Impact programs, we have the tools to help customers do this. To close, while macroeconomic improvement is progressing more slowly than we had expected at the start of our fiscal year, we're encouraged by many of the trends we're seeing across our businesses and the building momentum we continue to expect in the second half of the year. Our diverse business channels and global collective of brands continue to be a strong competitive advantage, and we have cash flow and balance sheet strength that will allow us to capitalize on opportunities and drive continued momentum. And finally, December always brings a chance to reflect on the year, and where we're headed next. I want to thank our associates across MillerKnoll for all that we've accomplished in calendar year 2024. This past year has been about coming together to inspire our customers and clients, collaborating with our colleagues and partners, and supporting one another. I appreciate every moment we've worked together and I'm proud of the milestones we've achieved. I'll now turn it over to Jeff to discuss our results in more detail and share our outlook for the remainder of fiscal 2025.
Jeff Stutz: Terrific. Thanks, Andi, and good evening, everyone. As Andi just mentioned, we're pleased with our second quarter results and despite what has remained a challenging environment from a demand perspective, we continue to be optimistic that the table is set for improved activity in each of our business segments moving forward. Consistent with our expectations, consolidated net sales for the second quarter were $970 million, representing a 2.2% increase year-over-year on a reported basis and a 2.4% organic increase. Second quarter consolidated orders of $922 million were down 2.3% as reported and 1.9% lower on an organic basis. Now, one important reminder as you digest our numbers is that order entry levels this quarter were impacted by that timing shift that Andi mentioned in the Thanksgiving and subsequent cyber promotional period within our retail business. Whereas last fiscal year, this entire two-week promotional period landed within the second quarter, this year it is equally split between Q2 and Q3. We are pleased to have maintained the gross margin expansion that we delivered in 2024, while strategically managing operating expenses and positioning ourselves for profitable growth. In the quarter, our consolidated Gross margin was 38.8%, which was down just slightly to last year, mainly due to product and channel mix. Turning to second quarter cash flows and the balance sheet. We generated $55 million in cash flow from operations, and we repurchased approximately 1 million shares for a total investment of $23 million in the second quarter. And through the first six months of the fiscal year, we've returned approximately $93 million to our shareholders through dividends and share buybacks. We finished the quarter with a net debt to EBITDA ratio as defined in our lending agreement of 2.94 turns. And with that, I'm going to move to our performance by segment. Within our Americas Contract segment, net sales for the quarter were $504 million, up 6.2% organically from the same quarter a year ago. While new orders of $457 million in the quarter were lower than we expected, they were up nicely coming in 4.9% over last year on an organic basis, marking, as Andi highlighted, our third consecutive quarter of order growth in the Americas segment. Order growth trends improved as the quarter progressed, and overall funnel, funnel additions, customer mockup requests, and pricing activity all continue to remain well ahead of last year, strengthening our confidence in a supportive demand environment entering the second half of the fiscal year. Second quarter operating margin in the Americas segment was 9.4% compared to 7.4% in the prior year. And on an adjusted basis, operating margin was a strong 10.2% in the quarter, up 80 basis points compared to last year, primarily due to leverage on fixed overhead costs from higher net sales and benefit from incremental price increases. In the International Contract and Specialty segment, net sales in the second quarter were $246 million, up 2.1% on a reported basis and up just over 1% on an organic basis year-over-year. Orders during the quarter were $219 million, a year-over-year, decrease of 6.5% on a reported basis and down just over 7% organically. Order growth in the APMEA region continues to be strong, but was offset by lower orders in other regions and softness in textiles and with luxury clients at Holly Hunt during the quarter. The operating margin in the International and Specialty segment continues to be strong as we are maintaining the benefits of past actions to reduce expenses. In the second quarter, operating margin was 9.7% on a reported basis compared to 9.9% last year, and adjusted operating margin was 10.5% which is down 80 basis points year-over-year, primarily from deleverage on lower sales in some of our Specialty businesses. Turning to our Retail segment, we reported net sales in the second quarter of $220 million, and relative to the same quarter last year, this is a reported decrease of 5.3% and down 4% on an organic basis. New orders in the quarter were $246 million, down 9.6% to last year on a reported basis and down 8.4% organically compared to the last year. As I mentioned, it's important to note that this organic sales and order decrease was expected given a shift in the timing of this year's holiday promotional period versus a year ago, and after adjusting for this shift, both sales and orders in the second quarter would be up low-single-digits to last year. And thus far in December, the improvement in year-over-year order rates has only increased. Operating margin in the Retail segment was 4% in the second quarter compared to 6.3% a year ago, and on an adjusted basis, operating margin was 4.2%, which is 290 basis points lower than the prior year, driven by reduced leverage on seasonal marketing spend for the holiday promotional period. Now, I'll turn to our near-term guidance and outlook. As Andi mentioned in her opening remarks, most of the leading indicators in our Americas Contract business are pointing to improved market conditions. Additionally, important external indicators, including the Architecture Billings Index, CEO and dealer sentiment measures, and luxury home sales are showing improvement. And as I just mentioned, we're very encouraged by the December month-to-date trends in our Global Retail segment. We believe both the internal and external indicators support our expectation of improving demand in most of our markets in the second half of the fiscal year. While we expect our fiscal third quarter to be impacted by typical seasonal softness in our Americas and International Contract businesses, as the calendar year comes to a close and by the timing of the Chinese New Year holiday, our full year guide reflects our confidence that our business is poised for growth. Now, with that being said, given the fact that order rates during the second quarter developed slower than we initially expected, we have narrowed our full year adjusted earnings per share range to between $2.11 and $2.17, lowering the midpoint to accommodate our expectation of a softer third quarter. This updated guidance continues to reflect our expectation of full year sales and EPS growth over fiscal 2024. For the third quarter specifically, we expect net sales to range between $903 million and $943 million. Adjusted diluted earnings are expected to range between $0.41 and $0.47 per share. Our Q3 guidance takes the third quarter's typical seasonal slowdown into consideration, along with the shift in the holiday promotional period for our Retail business, which we estimate shifted approximately $12 million in net sales, and $27 million in orders from our fiscal second quarter into the third quarter. For all other details related to our guidance, please refer to our press release. Now with that overview of our financial performance and the outlook for the remainder of the year, we'll turn the call over to the operator, and we'll take your questions.
Operator: [Operator Instructions] Our first question comes from the line of Greg Burns with Sidoti. Please go ahead.
Greg Burns: Good afternoon. I appreciate that the tariff question or issue is kind of still up in the air. No one knows exactly how that's going to shape up, but when you look at your business, can you maybe just give us a little bit more color on where you might have the most exposure, whether it's specific product lines or with maybe manufacturing that's coming out of Mexico, or just any additional color you might give us on how we should think about the potential impact on the business, and the business profitability going forward?
Jeff Stutz: Sure, Greg. This is Jeff. I'll keep my comments fairly high level, but I will highlight the fact that -- and as you well know and remember, we've been through this one round previously in 2018. So, as Andi highlighted in her comments, we do have a playbook of actions to take and maybe before I get into the exposures, I'll just reiterate those. We've got opportunities and we've taken action to identify alternative sources of supply. Now, we can't do that everywhere, but we're certainly doing it where we can. We're buying in advance component parts that we think are very low risk in advance of any tariff impacts. And we also have potential pricing actions that we will consider depending on the level of the kind of details that come out here after the first of the year. Additionally, we've got options around duty drawback, and applying for exclusions, which we had some success in the last round, as well as transfer pricing strategies that we think can help limit the impact. So, that's the, if you will, the playbook and we'll pick the combination of those things as necessary. But in terms of exposures, not a lot of exposure to Mexico in our business, but the two big regions of the world would be China and Canada. And the Canada exposure really came to us through the Knoll acquisition. As you know, we've got manufacturing in Toronto for some of our wood case goods. So, those are the two areas that we will be watching most closely as we move forward.
Andi Owen: And I would say, just to add onto that, Greg, based on our last round of experience with tariffs, we spent a lot of time and effort making sure that we rationalize our manufacturing and our supply chain so we mostly build for region and region now. So, we are a lot less exposed to places like China than we have been in the past. But to Jeff's point, we have a playbook ready depending on what those tariffs end-up being.
Greg Burns: Okay. Great. Thanks. And then in terms of maybe the slower order development you saw in the Americas or maybe more broadly, maybe it was elsewhere also, but can you just talk about that a little bit more? I think on the last call you mentioned that kind of book-to-ship times were extending. Maybe there was longer sales cycles. Is that part of maybe what you're still seeing this quarter?
Andi Owen: I don't think the book-to-ship has changed too much, Greg, but I think this last quarter was unique for us in that we really saw in all of our businesses and I think a little bit throughout the country, a little bit of a slowdown pre-election. And so, I think when you look at how the quarter started off, it really was related to that. Post-election, we started to see things pick up. So, I don't think it's something to be concerned about or repeatable. And then, John, I don't know if you want to add to just order-to-ship. Nothing has really changed there since our last call, I don't think.
John Michael: No, I think it's -- it is pretty similar. Customers are still planning for -- planning in advance, perhaps more than they did pre-COVID for some longer lead times with everything that goes into a construction project. But it's been pretty steady and consistent throughout the quarter.
Greg Burns: Okay. And then internationally, the orders I guess we're down a little bit more than we were expecting. Can you just talk about the demand dynamics there? It sounds like it's different across different markets, but also I just was wondering in terms of maybe some of the integration, in terms of Knoll and the dealer network and some of the growth investments you've been making internationally, where are you at with those and how are those impacting the business right now?
Andi Owen: Yes. I think we continue to increase our dealer distribution internationally and across the board, Greg, continue to add a full line of MillerKnoll dealers. We've had great success with that so far. I think when you look at the International business in general compared to the Americas Contract business, it tends to be a much more project-based business. And therefore, to use a technical term, it's a little lumpier than what we see in Americas Contract. We're still seeing strong demand, we're still seeing a very active funnel. I think there's a certain amount of uncertainty with everything that's going on in Europe right now, macroeconomically and politically, and we ride those waves out. But I think the nature of the business is that it tends to be a little lumpier. Jeff, would you add anything?
Jeff Stutz: No, I think that's spot on.
Greg Burns: Okay. Great. Thank you.
Andi Owen: Thank you.
Greg Burns: Your next question comes from the line of Reuben Garner with The Benchmark Company. Please go ahead.
Reuben Garner: Thank you. Good evening, everybody.
Jeff Stutz: Hello, Reuben.
Andi Owen: Hi, Reuben.
Reuben Garner: Let's see. So, our dealer survey the last few months has been pretty positive, especially the two readings post the election. I was wondering if you could kind of comment on any feedback you've gotten from your customers. I know you said it was softer before the election and maybe started to pick up since then, but any kind of feedback on what things are looking like as we get closer to 2025?
John Michael: Sure. Hi, Reuben. This is John. I would say dealer sentiment, as it shows in your survey is, definitely continues to improve. There's a fair amount of market activity really across the board. And if you think about the leading indicators that we track to try and anticipate what demand will be going forward, they are all pointing in the right direction. Things like additions to our 12-month funnel were up over 64% this quarter over the same time last year. Mockup activity, those things that happen right before customers make decisions are up almost 30%. So, all in all, all the indicators we're tracking are healthy and that's consistent with what we're hearing from the dealer network as well.
Reuben Garner: Okay. Great. And then, Jeff, some clarifications on the guidance. I think that if I'm doing the math right, the third quarter kind of implies a little bit more of the same that we saw in the first half in terms of year-over-year, a little bit of margin -- or flattish to maybe a little bit of margin pressure at the operating Inc. line. The fourth quarter, depending on what your revenue number assumes, it looks like it implies a pretty big surge in margins, am I doing that right? Is there something that's going to drive that or is that another kind of expectation that this acceleration is going to come in the form of a big move in the top-line in the fourth quarter?
Jeff Stutz: Yes, Reuben, I think it's -- our expectation would be more the latter than the former. We would expect with, as you saw, even this quarter and in our Q3 guide, you can see that we are sensitive to shifts in the top-line in terms of leverage. And so that's the big reason we're seeing a slight tick-down in margins in Q3, because we've got lower revenue and to some degree, you've got some channel mix that's moving around on some of our higher gross margin businesses. But our expectation based on what you heard from John, the fairly positive indicators that we're seeing internally relative to our Retail business, would tell us that we should expect an acceleration in revenue. So, I don't think it's a massive surge in margin that we're expecting. It's more -- it would be more typical improved leverage on higher sales. But it's more of a top-line story in our view.
Reuben Garner: And can you tell us what that top-line assumption is, so that if we think it's trending differently than that, we can adjust?
Jeff Stutz: Well, Reuben, we haven't provided a full year revenue guide, so I'm not going to quantify it for you. But what I can tell you is that the gross margin expectation would be modestly improved from the second quarter. And we're going to do everything we can -- and just real quick, Reuben, by the way, we're going to do, of course, everything we can to manage those operating expenses prudently, so that we don't expect beyond variability on higher sales. We don't expect a significant uptick in OpEx.
Reuben Garner: Okay. And just to clarify, you said the fourth quarter gross margin would be modestly better than what I think you said second quarter, but I don't think that's what you meant.
Jeff Stutz: That is what I meant. Yes. Yes, I think you'd expect it to be modestly better because we would expect better revenue.
Reuben Garner: Got it. Okay. All right. I'll jump back in queue. Thank you, guys.
Jeff Stutz: Thanks, Reuben.
Operator: Your next question comes from the line of Brian Gordon with Water Tower Research. Please go ahead.
Brian Gordon: Good morning, or good afternoon, everybody. In your discussions with customers and partners, have there been any kind of meaningful directional trends in terms of what you're hearing in terms of, like, work-from-home or hybrid policies? And how are you thinking that could potentially affect business over the next couple of quarters?
Andi Owen: Actually, John, why don't you start?
John Michael: Sure. This is, John, I'd be happy to take that. I think what's been consistent for the last few quarters is conversations we're having with executives at companies. They're looking for ways, right, to get their people, attract their people back to the office. And they're seeking ways to connect in person in the ways that technology doesn't facilitate nearly as well, whether that's informal connection, learning and mentoring, problem-solving, right, all the things that are just a lot harder to do virtually than they are in person. And in that regard, they're beginning to engage a larger section of their employees to help with that planning, so that there's some ownership in terms of how the space develops and people's desire to want to participate and use it. And obviously, I think common in our industry is everybody wants the ability to adapt and flex over time. So, we all know that the work environment is going to change over time, and so, people want to make sure they've got space that allows them to do that. So, I would say that in general, the conversations with customers are robust. They're very targeted and focused in terms of how they engage their associates and get them back in the office, particularly to focus on those things that are not as effective from a virtual perspective.
Andi Owen: Yes. I think the conversation, Brian, has really shifted to getting people back in the office. Not so much if, but when and how quickly. And I think another encouraging sign for us is to see how much our large projects have increased over the last several quarters, which typically means that people are looking to actually really revitalize their environment versus just a small area here and there. So, we're encouraged by both of those things.
Brian Gordon: That definitely makes sense. And I was actually going to follow up with that question. Last quarter, you guys had noted that those larger orders, the greater than $5 million category, was up quite strongly. I was wondering if you could kind of give us a little bit of color on how that segment of the business has been performing over the last quarter.
Jeff Stutz: Yes, Brian, Jeff here. Same. We were really encouraged. That was the highest category of growth for us. Again, this quarter was projects above $5 million. So, that trend has continued.
Brian Gordon: Great. Excellent. Thank you very much.
Operator: Your next question comes from the line of Alex Fuhrman with Craig-Hallum Capital Group. Please go ahead.
Alex Fuhrman: Hi, guys. Thanks for taking my question. It was nice to see that orders for Retail were up during the really important Thanksgiving weekend and beyond period. Curious how we should think about that given that the Retail business has been down year-over-year for a little while now. Is this potentially the beginning of turning a corner and starting to get Retail back to growth or was this just a matter of a well-executed promotional strategy around Thanksgiving?
Andi Owen: Yes. Alex, I think it's both. But Debbie is here, so I'm going to let Debbie answer with some details.
Debbie Propst: Hi, Alex. Thanks for the question. So, I think it's your latter point. I think we well executed our promotional period. However, that combined with many of the initiatives we have been working towards driving momentum as we deliver. So, just a few examples of those. Our newness continues to grow and is performing better than ever. Our marketing capabilities have been honed over the last few years with new tools like our customer data platform and now the add of data attribution. So, we're seeing significant results from that. I'll just give you one data point. Our return on ad spend for the quarter was up 5% to last year, while cost to acquire customers was up 15% because of the election noise. So, we're seeing really nice marketing economics. Our selling initiatives such as our design services, our small business outreach, those things are driving average order values 10% above last year. And then we have more initiatives across these three factors in the pipeline in addition to new stores in the last quarter. So, we do expect continued momentum and we expect to see growth beyond what's happening in the macroeconomic trends.
Alex Fuhrman: Okay. That's really helpful. Thank you very much.
Operator: As there are no further questions, we turn the floor back to President and CEO, Andi Owen, for any closing remarks.
Andi Owen: Thanks again, everyone, for joining us on the call. Hope everyone has a lovely holiday season. We appreciate your continued support of MillerKnoll and we look forward to updating you on our next quarterly conference call. Thank you.
Operator: Thank you for joining our call today. This now concludes our conference call. You may now disconnect.